Operator: Greetings, and welcome to the MRI Interventions First Quarter 2013 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Oscar Thomas, Vice President of Business Affairs. Thank you, Mr. Thomas. You may begin.
Oscar L. Thomas: Thanks Bob, and good afternoon, everyone. Thank you for joining us today for MRI Interventions first quarter 2013 financial results conference call. As Bob said, this is Oscar Thomas, Vice President of Business Affairs for MRI Interventions. With me this afternoon are Kim Jenkins, our CEO; and David Carlson, our CFO. Before we begin with our presentation, I do want to point out that some statements we make during today’s call will be forward-looking statements within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements include, for example, statements we make of our plans and objectives relating to our commercialization efforts for our ClearPoint system. Forward-looking statements often can be identified by words such anticipates, believes, could, estimates, expects, intends, may, plans, potential, predicts, projects, should, will, would, and other words of similar meaning. Forward-looking statements by their nature address the matters that to different degrees are uncertain and involve risk, and they are made based on the current beliefs of MRI Interventions’ management. Uncertainties and risks may cause our actual results and the timing of events to differ materially from those expressed or implied in forward-looking statements we make today. Detailed information regarding the risks, uncertainties and other factors that could affect MRI Interventions actual results and the timing of events are described in the Risk Factor section of our Annual Report on Form 10-Q that we filed with the SEC on March 11, 2013. You can find that SEC filings in the Investor Section of our website at www.mriinterventions com. And with that, I’ll turn the call over to Kim.
Kimble L. Jenkins: Thanks, Oscar, and good afternoon, everyone. Thank you for joining us for our first quarter earnings call. On behalf of the management team and the employees of MRI Interventions, we appreciate your interest in our company. And for those of you who are shareholders, thank you for your support. We’re honored to be working for you in building this great company. David Carlson, our CFO will walk you through our first quarter numbers. But before he does that, let me comment that I’m very pleased with our results for the quarter, we are reporting growth in our revenues, growth in our product and service numbers and growth in our recurring revenues and sales disposable. We increased the number of ClearPoint size. We expanded our sales and marketing capabilities. We introduced improvements to our ClearPoint product lines. We expanded our involvement in drug delivery clinical trials and we added to our extensive patent guidance portfolio. It was a successful quarter and we worked hard and as a result our commercial enterprise is running. Now with that, I’ll turn it over to David to review our first quarter numbers and then come back to you with some further comments.
David W. Carlson: Thanks, Kim. I apologize in advance for the raspy voice as I have a bit of a spring cold. We are pleased to report a solid first quarter. We recorded revenues of $1.3 million compared with $980,000 in Q1 of 2012 results for both quarters included recognition of $650,000 in license fee revenues. The license fee revenues recognized in both quarters relates to amounts we previously received under our agreements with Boston Scientific. Product revenues were $460,000 in the first quarter of 2013 compared with $222,000 for the same period in 2012, an increase of 107%. Disposable products’ revenues grew from $222,000 in Q1 of 2012 to $347,000 in the first quarter of this year, an increase of 56%. In addition, we recognized $113,000 in product revenue related to the sale of one ClearPoint system in the first quarter of 2013. Overall, revenues also included development service revenues of $154,000 for Q1 of 2013 and $108,000 for Q1 of 2012. These development services were performed on a contract basis for one of our strategic partners. Our gross margin on product revenues was 51% in Q1 of 2013, compared with 54% in Q1 of 2012. The change relates to change in mix as our margins on disposable products are higher than on capital product sales. In addition, margins were impacted by an increase in depreciation on ClearPoint systems installed under our ClearPoint Placement Program. R&D costs for the first quarter of 2013 were $771,000 compared to $690,000 for Q1 of 2012. The primary drivers for the quarter-over-quarter increase related to higher software development expenses associated with product enhancements, which were $93,000 and sponsored research costs, which increased $80,000. These increases were partially offset by a decrease of $121,000 related to our Key Personnel Incentive Program. SG&A expenses for the first quarter were $1.6 million, compared with $1.3 million for Q1 at 2012. Approximately $186,000 of the increase resulted from higher spending on sales and marketing activities that were primarily related to additional sales in clinical support personnel, share based compensation was higher by 64,000 and the remainder of the increase related mostly to costs associated with are being a public company. We recorded a gain of $1.5 million during the first quarter of 2013, resulting from the change in the fair value of the derivative liability associated with the warrants we issued in our January 2013 equity capital rise. A decrease in the fair value of the derivative liability between the transaction date and the end of the quarter was almost exclusively due to the impact on the Black-Scholes calculation of the change in our stock price between the closing date of the financing and quarter end. During the quarter, we recorded loss of $1.4 million related to on March 2013 note payable modification, the note payable modification included $1.9 million increase to the principal balance of an existing note payable, a decrease in the interest rate from 10% to 5.5% and the elimination of the notes equity conversion future. The $1.4 million loss we recorded represented the difference between the carrying amount of the note and they related accrued interest immediately prior to the loan modification and the fair value of the note immediately following the loan modification under the previous terms of the note the holder have the right to convert principal and interest in the shares of out common stock at $0.60 per share. The April 2016, maturity date did not change. Net other income was $374,000 for the first quarter of 2013. This other related to negotiated reductions in amounts payable to service providers. Net interest expense for the quarter of 2013 was $99,000 compared to $2.3 million for the first quarter of 2012. Approximately $2 million of the interest expense during the first quarter of last year related to the write-off of debt discounts and deferred financing cost associated with convertible notes that converted into shares of our common stock upon or becoming a public reporting company in February 2012. The remainder of the decrease in interest expense relates primarily to the conversion of convertible notes payable into shares of our common stock in February 2012. These notes were outstanding during a portion of the first quarter of 2012. The decrease is also attributable to a February 2012 loan modification pursuant to which the interest rate on our notes payable to Boston Scientific were reduced from 10% to 0%. Our net loss per share was $0.02 per share in the first quarter of 2013, compared with $0.14 per share in Q1 of 2012. We significantly improved our balance sheet during the quarter though the equity private placement we closed in January. We ended the quarter with $9.2 million in cash and our accounts payable and accrued liabilities balances decreased by $1.2 million from year end. With that I’ll turn it back over to Kim.
Kimble L. Jenkins: Thanks, David. So I’m very pleased with the progress we made in the quarter and again, let me repeat, we grew our revenues, we added to our installed base, we made significant progress in building up the sales and marketing capabilities that we need to support accelerated growth in our business going forward. Now let me take a few minutes to elaborate on these points. During the first quarter and since then we continued to expand the company’s sales and marketing presence. Of note, we continued to add to our sales and clinical support capabilities, today we now have ten professionals in sales and support roles that’s up from three back in September. Our Rob Korn, our VP of Sales is doing a great job building up team. We’ve expanded our presence in conferencing during the quarter, adding activation disease American Academy of Neurology Annual Meeting, The Intraoperative Imaging Society Annual Meeting. For 2013, Winter Clinics for Cranial & Spinal Surgery So in addition, over the last couple of weeks we exhibited at the American Association of Neurological Surgeons Annual Meeting, and the 2013 Targeted Drug Delivery Conference. I am very happy why these conference are going, but importantly surgeons are using – talking about ClearPoint at the podium speaking of the positive experience that they have in using a system, but describing our successes in treating patients with Parkinson’s disease, dystonia, pediatric dystonia pain, (inaudible) and brain tumors. But the Targeted Drug Delivery Conference is San Francisco there were three back-to-back talks, 30 minutes each is striving use of ClearPoint to drug deliveries. All these conference as they are excellent interest in the ClearPoint platform is very high. I’m happy with the three new ClearPoint sites we added disorder. In addition of breaking the one top is noteworthy, but it’s historically important role in the field of interventional. We are going to limit the hospital time to the National Center of Image Guided Therapy or the NCIGT. ClearPoint has been installed and we are going to win advanced multi-mortality image guided operating suite, which is the state-of-the-art facility between incremental to advancing the machine of the NCIGT So pleased to by installed at second house in Brain (inaudible). Second is the fast growing clinical neuroscience program, those on use of the leading edge surgical technologies. We are also excited to penetrate the VA hospital system with our installations in San Francisco VA medical centre. At most the San Francisco VA is one of the six VA hospitals essentially designated that the Parkinson's disease research, education and clinical center, the six centers offer state-of-the-art diagnosis in treatment of Parkinson's disease another movement disorders. And then probably in drug delivery clinical trials continues to grow, as previously reported we’re now involved in five different clinical trials to enable delivery of therapeutics roughly into the brand. Three of these trials are diagnosis, two Parkinson’s disease. Now let me take a moment again to explain why we believe drug delivery represent a tremendous opportunity for us. First I want to point out that the problem we are addressing is significant. So there is two more drug to work, the drug must get to the tumor which they found obvious that’ surprisingly many drug that fail, they never reach the tumor. This problem is highlighted in the Peer Review Journal published in the Journal of Neurosurgeon. It will analyze the placement of 517 drug delivery catheters is to deliver drug for the treatment of brain tumors. Our analysis concluded that only 49% of the catheters met the catheter position criteria. More than half of the catheters went wrong location. Now surprisingly that drug – it is hard to grow a Phase in enormous difficult in achieving unnecessary catheter. This difficulty is something we overcome with that good point the desired target we are going to achieve less than 59% of the time. Using for the point is our – achieve 100% at the time, how can we resource certain surgeon can see what he is doing. So largely our investors care about this. We believe if drugs are delivered accurately some of those drugs will work. Thus far we’re working to be involved in as many different clinical trials as we can. If a ClearPoint delivered drug works to treat, for example, brain tumor or Parkinson’s disease it will be an enormous revenue opportunity for us. If a particular drug doesn’t work, that’s fine too. We are and will be involved in multiple drug trials. And remember, ClearPoint’s primary clinical use is delivering other therapies like DBS and focal ablation. So believe MRI Interventions offers investors some of the binary upside attributes of a drug company with a lower risk profile of a medical device company. Getting back to first quarter highlights, we continue to roll out enhancements to our ClearPoint System. We got a every product, but we want to keep making it better. During the first quarter, we rolled out our large-bore SmartFlow cannula. This cannula is enabling a significant increase in delivery rate of drugs during the ClearPoint procedure. In a recent case we’ve demonstrated a flow rate three times faster than the previous infusion. This means the infusion time can be reduced by [three] which will be the difference between, for example, a 3-hour infusion and a 1-hour infusion. During the first quarter we received 510(k) clearance from the FDA on our SmartTwist MRI-compatible hand drill. During the quarter we also introduced our ClearPoint adjustable head stabilization device and we recently launched an update to our ClearPoint software version 1.3. These product enhancements taken together are important, but there is completion initiatives (inaudible) what we call ClearPoint team of procedures. All ClearPoint procedures are minimally invasive. However, within ClearPoint team of components we are certain we’d be able to do a number of procedures in brain through an opening as small as 2 millimeters in diameter, which is approximately the diameter of a coffee stain. We’re excited to have all the components together and set the first ClearPoint key whole procedures to be performed later in this quarter. Finally, as we continue to grow our RB portfolio. During the first quarter, we received four new issued patents and we found seven new patent applications. We ended this quarter with 84 issued patents and 102 pending applications both U.S. and foreign. We believe our expenses in the patent portfolio is an intangible asset and secures our position as a leader in this field. Our integral format on the last earnings call, by missing a few things to watch as the one to monitor our progress. As I wrap up this call, I would like to do the same things. First, watch out number of ClearPoint in cell sites. This is an important near-term measure of our progress. Our business opportunity at hospital start with getting ClearPoint installed. So continue to keep an eye on that number. Second, disposable revenues; we continue to see a lot of momentum in our business and we are reporting significant growth in our disposal revenues here However, we believe this growth is modest compared to what we can achieve with the appropriate personnel in place, not having a full team in place is moderating our sales. We’ve been working to hire, train, and deploy our clinical field support staff and we expect to complete this effort soon. So watch out disposable revenue numbers as well as our progress in building out our clinical field support team. Third, keep an eye on our continued expansion of the ClearPoint platform. ClearPoint is used in performing a raising range of non-invasive neurosurgical procedures. By owing the platform, we have the opportunity to continue to expand the utility of ClearPoint for the neuro surgeon and the hospital. So watch for additional activity in areas such as drug delivery trials and clinical use of our ClearPoint’s key health components. As a wrap up I would like to tell you about a gentlemen named Mr. Tony Page. Mr. Page who is a chef and owner at the (inaudible) in an area near Pittsburg has suffered from Parkinson’s disease over his years, he looks into the treatment that is going to learn into required a long neuroscience procedure and going to be length of the procedure you thought. Even downwards a picture of it and almost training. I couldn’t do that for six hours. Then Mr. Harry learned Dr. Mark Richardson co-Director of Neurosurgery, he fits with and he is doing something in Pittsburgh that is something new ClearPoint. Dr. Richardson performed the ClearPoint procedure on this occasion Orbit when the results were immediate. As this equates I thought the Parkinson’s recently I was in control again. ClearPoint procedure was performed on Friday, as short operation on Monday connected the wires of the pacemaker on Wednesday you will back to work. Today is learning same activity he is enjoying the same activity he did before the disease, he got like that. His story is one of the growing of the story for us. Demonstrating at ClearPoint, it embracing the large equation and at the end of the day, as of this know about. So, with that we’re ready for questions. Operator?
Operator: Thank you, we’ll now be conducting a question-and-answer session. (Operator Instructions) Our first question comes from the line of Raymond Pirrello with Pendulum Capital Markets. Please proceed with your question.
Raymond Pirrello – Pendulum Capital Markets: Based on your data, Kim – great quarter. Based on your data for the clinical trial, so basically 50% up to 100% in terms of delivery, do you think it’s a possibility or even in the cards where the FDA will require these companies to start using the ClearPoint system to do their FDA Phase for studies for the drug delivery?
Kimble L. Jenkins: Hi, Ray. How are you? It’s an interesting question. I certainly can’t speak for the FDA, no one I can. We believe the data is very strong as evidenced by the John Sampson article in the Journal of Neurosurgery that I just quoted. Similar papers have reached the same conclusion. For example, the Lancet article describing the results with a neurologic trial, recently the failed Ceregene trial for CERE-120, a therapy for Parkinson’s disease. So we think the data is pretty strong, very strong as to what the FDA may do require, I really can’t speak to that.
Raymond Pirrello – Pendulum Capital Markets: In terms of new locations, great job signing up some more in the first quarter, is there anything at this point in mind up already for the second quarter?
Unidentified Company Representative: We’re sure taking this one step at a time, Ray. Speaking to what we did in the first quarter, we haven’t talked about the second quarter. We got a nice team in place as I talked about. We’re pleased with the work those guys are doing and we’re focused on continuing great business.
Raymond Pirrello – Pendulum Capital Markets: Are any of the partnerships that you guys had before, you know, this new force came in to play, a new sales force journey, are there any types of movements there in terms of, then bring us anything from Brainlab, and I believe there is somebody else as well?
Unidentified Company Representative: Sure. so, Brainlab in particular is our non-exclusive accounting distribution partner, particularly helping us in Europe. And that’s a strong relationship. We spend a lot of time with those guys and with them just last week at the Dublin. So it’s a good relationship and we’re getting benefit from that.
Raymond Pirrello – Pendulum Capital Markets: So, are you happy with outlines at this point?
Unidentified Company Representative: Yes.
Raymond Pirrello – Pendulum Capital Markets: Okay. and the last question is on a hospital-by-hospital basis, joining pattern of gross indisposables being ordered based on time. so if you had some of your earlier hospitals. Are you started to see a pattern of increases of cases on a hospital-by-hospital basis based on then getting comfortable with the new device.
Unidentified Company Representative: We are seeing increased utilization. as far the pattern, I’m sure we’re seeing the pineapple pattern yet. but again, we are seeing the increased utilization with, as I talked about in earlier comments, one we got to do is we got to be keep rolling that clinical field support staffs. so that’s not a moderator on utilization, but we’re working on that, but it’s hard to pattern, I’m not sure I know the pattern. All right. I appreciate you dialing into the call.
Raymond Pirrello – Pendulum Capital Markets: Thanks again.
Operator: Thank you. Our next question comes from the line of Gary Peller who is the Private Investor. Please proceed with your question.
Unidentified Analyst: Yeah. This is Gary. Can you hear me?
Unidentified Company Representative: Yes, I hear.
Unidentified Analyst: Just one quick question on these latest three installations you announced today, from the time that your team first met with all three of the parties to the time that contracts were signed for the installation. what is the average amount of time for those just those latest three?
Unidentified Company Representative: Let’s say, so I’m just saying for a minute, what we see Gary, and I think this would be consistent with these sites, our sales cycle is about six months, and it’s interesting, it really doesn’t take a lot of time to get a neurosurgeon interested in bringing in a clear point. However, there is a lot of processes as you know in our hospital, there are committees, there’s a new products committee, the neuro committee, the sterility committee et cetera and that seems to happen on a serial basis in parallel. I think about six months, is the average and would be consistent with these sites.
Unidentified Analyst: And about how many, a follow-up question about how many facilities separate new facilities, would you be meeting with representatives at this time on an ongoing basis or are you always meeting with at least 10 new facilities or 15 or 20, I mean there is 1000s of hospitals, I’m just wondering?
Unidentified Company Representative: Sure. Gary we’re always meeting with quite a few folks, and actually it’s interesting this week is really we’re following up on a very active and very productive conference at the Dublin asset now in New Orleans. And so measuring by this week, I’d say it’s the higher number than really what you’re talking about. but generally yeah the work, our guys are staying busy. they don’t have any shortage of hospitals to be interacting with right now, which we’re pleased about, thus far we’re working hard to grow the sales and marketing infrastructure.
Unidentified Analyst: Okay, thank you.
Unidentified Company Representative: Thank you.
Operator: Thank you. Our next question comes from the line of (inaudible). Please proceed with your question. Andrew your line is live for question. Okay, let’s move on to our next question, comes from the line of John (inaudible) with Sterne Agee & Leach. Please proceed with your question.
Unidentified Analyst: Hey, Kimble. It’s John (inaudible) Birmingham. How are you doing?
Kimble L. Jenkins: Hi, John how are you doing?
Unidentified Analyst: I’m good, I’m good, great quarter. I just had two questions one, what is the call stop, the disposable device to the hospital and the next question is do you all have any idea of what your cash burn maybe in the second quarter, third quarter, is there any kind of model on that?
Kimble L. Jenkins: Sure, so first of all, with regard to the disposable costs, we look at it on sort of an average selling price procedure.
Unidentified Analyst: Right.
Kimble L. Jenkins: And that ASP procedure is approximately $7,300. As we said before, our margins on the product during kind of the 75% to 80% and so we make approximately $6,000 a case. As far as the cash burn goes, so we ended Q1 with a burn rate of about $600,000 a month. You’ll know if you look to the numbers that we use about $2.2 million in cash during the quarter. Now that included around $400,000 in payments that will not recur again in 2013. So now going forward, I guess there is two significant components one is as we talked about, we are growing the sales and marketing team and capability. To offset that we hope that the team will continue to increase the revenue.
Unidentified Analyst: Right okay well that answers my question, I appreciate it.
Unidentified Company Representative: John thank you every much.
Unidentified Analyst: Thank you.
Operator: Thank you. Our next question comes from the line of John (inaudible) who is a Private Investor. Please proceed with your question.
Unidentified Analyst: Yes Kim, I’ve two questions. One can you give an close track of all the renewals we best train so far, is position and raised into additional neuroscience and second question the clear things, what’s your timetable on that and what are you thinking at that?
Unidentified Company Representative: Sure, so I don’t know at the top of my head what the number of doctors that are trained to do a clear point. I can estimate it though. The hospitals that were – tend to have, if some have one, many of them have two and the other surgeons that do these procedures few of them have more than two. We are in 23 facilities now. So my guess would be on the order of I get probably 45, would be my guess. Maybe a larger number actually because one of the things it’s nice, at the hospital that we’re in, for example an M&A or USCS these are teaching hospitals and so they’ve got a steady stream of followers they go through there every year, and those men and women and go out to set up their practices and that’s a nice opportunity for us and sometimes that number can be, at least several people per hospital. With regard to your question on ClearTrace, Jack, we don’t have. We’ve not set a timetable on ClearTrace. As we’ve talked about, as I think we mentioned before, our focus is really on ClearPoint growing that business as aggressively as we can, growing that commercialization effort. That said, and so we are not focused on the commercialization around ClearTrace. That said, just a few weeks ago I was out at the University of Utah, which is a kind of our primary research center for ClearTrace and meeting with the team there. They are continuing to work in the area having a good success in this area. And actually anecdotally, the Heart Rhythm Society meeting is taking place this week in Denver, and of now I‘ve an email just a little while ago that one of the doctors that has been very involved in MRI guided cardiac EP gave a talk today on the use of MR in connection with treating AFib patients and complex arrhythmia patient. So I think the short answer, Jack, is that is, we really – we don’t a have specific time table right now. We are focused on ClearPoint, but maybe to run that out a bit, there is – we are in a good position with that products, we are excited about the potential to really change, really revolutionize that field as we believe we are doing on neuro side and we are happy that the research community and the clinical community awareness of the value of the MR and EP continues to grow. And operator if that’s left, then we will wrap up.
Operator: We do have a final question coming from the line of (inaudible) with Lennox. Please proceed with your question.
Unidentified Analyst: Hi, Kim, how are you? It’s Andrew from New York.
Kimble L. Jenkins: Andrew, how are you?
Unidentified Analyst: Great. I just had a question for you. Do you know how many cases on a monthly or quarterly basis a side is performing on average?
Kimble L. Jenkins: So we have, again, we are still early in the roll out. We’ve got a lot of new sites and they come on line some this quarter, some last question. The – our goal or sort of our approach to utilization is to get the system installed and then tell the neurosurgeon do a couple of cases, see how the patients do, see how your team likes it, all those things. They will do those couple of patients typically. They will sit back and see how the patients do and then they will come back and start looking additional cases. Our near term goal has been to drive size towards a – to four cases a month cases a month or essentially a case a week, that’s not an end goal but it’s a near term goal and it’s really what I am marching the sales as we deal support people to do at this point.
Unidentified Analyst: Got you. Thank you very much.
Unidentified Company Representative: Andrew thanks so much, and let me wrap up. Again, we really appreciate your support and interest in our company and we think we’ve got a great product. We think we’re building a great company; it wouldn’t happen if we didn’t have the support of our shareholders. So thank you for that. And have a good afternoon.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.